Operator: Good morning, and welcome to the Jacobs Second Quarter of Fiscal 2012 Results Conference Call. [Operator Instructions] Please also note that today's event is being recorded. Now I'd like to turn the conference call over to Ms. Patty Bruner. Ms. Bruner, please go ahead.
Patricia Bruner: Thank you. The company requests that we point out that any statements that the company makes today that are not based on historical fact are forward-looking statements. Although such statements are based on management's current estimates and expectations and currently available competitive, financial and economic data, forward-looking statements are inherently uncertain and involve risks and uncertainties that could cause actual results of the company to differ materially from what may be inferred from the forward-looking statements. For a description of some of the factors which may occur that could cause or contribute to such differences, the company requests that you read its most recent earnings release and its annual report on Form 10-K for the period ended September 30, 2011, including Item 1A, Risk Factors; Item 3, Legal Proceedings; and Item 7, Management's Discussion and Analysis of Financial Condition and Results of Operations contained therein, and the most recent Form 10-Q for the period ended December 30, 2011, for a description of our business, legal proceedings and other information that describes the factors that could cause actual results to differ from such forward-looking statements. The company undertakes no obligation to release publicly any revisions or updates to any forward-looking statements whether as a result of new information, future events or otherwise. And now I'll turn the call over to John Prosser, CFO of Jacobs.
John W. Prosser: Thank you, Patty, and good morning, everyone. I will just go briefly through the financial highlights and cover a couple of points that were in the press release, and then I'll turn it over to Craig Martin, our CEO, to go through our growth strategies and business overview and outlook for the quarter. If you go to Slide 4, these are the information. Most of this was contained in the press release. As reported, we did have EPS for the quarter of $0.65 on net earnings of $83.9 million. These earnings were lower than expected and a little disappointing to us. Kind of the lower results were driven by really 3 items, 2 affecting margins, one on the G&A. The -- we had a lower field service activity for the quarter. That continues to wind down. But it was also exacerbated by the fact that we also had a number of deferrals of some turnaround activity that had been impacted in the second quarter but now have been postponed out and probably won't be initiated until fiscal 2013. Also, we found that because of the continued competitive market, that the work flowing in this quarter has a slightly lower overall multiplier rate in margin rate, and so our operating margin was down from prior quarter both on the professional services side and the field services side. And with the mix, it was also down. So those 2 things contributed to the lower-than-expected margin. And also, G&As were higher. While we usually will have a slightly higher G&A in the second quarter just because the first quarter tends to have a lot of holidays and such, we found that in -- the second quarter was driven also by just a lot of activity in hiring and delays in getting those people that we hired actually on to projects and billables. So most of the overrun in the G&As that we experienced were related to that, to labor and utilization and getting them utilized, which we think is a temporary activity. And as those people get onto jobs and such, we should be able to get our G&As more in line with expectations over the balance of the year. Backlog was a very good reported increase year-over-year. We are up almost 8%. And quarter-over-quarter in total, we're up a little over 4%. Book-to-bill continues strong, 1.1 for the trailing 12. As you'll see when we file our Q probably later today or tomorrow, we will -- we saw the strong balance sheet. Net cash position is still strong at $380 million. And we did revise our guidance and lowered the top end of the range, so our guidance now is $2.80 to $3. We had previously had guidance out there of $2.80 to $3.20. So with the lower results for this quarter, we did adjust the top end of the range. Moving on to Slide 5, earnings history. Just point out that while we talk about long-term 15% average annual growth rate, we still are delivering that as we've gone through the recession and the downturn. And we still believe that that's a good goal and something that we expect to be able to meet going forward. On Slide 6, just talk about backlog a little bit more. The professional services backlog had very good growth. And as we've said in the past, that's really the leading indicator for our business. So as -- if you look at that year-over-year, it's almost a 14% growth in professional services, while the overall... [Audio Gap] [Technical Difficulty]
Craig L. Martin: We apologize for that. Isn't technology a wonder these days? I think we got cut off somewhere about the time I was starting my discussion. So I'm going to pick up there. If we've missed something when we get into the Q&A, please let us know. So I'm going to start on Slide 7 with the growth strategy. These are the same 5 points that we make every quarter because this is fundamentally our approach to the business. Nothing about it changes significantly from quarter-to-quarter. The first 4 bullets, our business model, our market diversity, our geographic diversity and our approach to acquisitions, I'm going to talk about in more depth as we go through the rest of the presentation. But I wanted to take just a minute to talk about the last bullet, driving down costs. As you know, Jacobs has always taken the position that aggressive cost control is a good strategy for supporting growth and profitability, and we believe that continues to be the case. So we're very focused on cost control as we go forward. We've been pretty aggressive about recruitment and bringing in teams for the work that we see out in front of us. That's impacted our costs a little bit this quarter, as John mentioned. But overall, we see our cost posture as good, and the good news is, we see margins as starting to improve a little bit from a standpoint of new sales. So we think the opportunity to raise prices, particularly in the private sector, is out there as we speak. Public sector is going to remain a little more competitive, but that actually plays to our strengths. So we think the markets, from a cost perspective, will be a little bit better for us going forward. Moving on now to Slide 8. This is our -- a little different version of a slide, some of you may have seen this before, about our relationship-based business model. As you recall, our business model is based on long-term relationships with our customers and a high level of repurchase loyalty. We do well in that regard. Our repeat business last quarter was over 91%. We got almost 80% of our business from preferred relationships, and our core clients dominate those preferred relationships. But you can see here how the model works. We build relationships with these customers. They trust us. We improve our business and provide them with superior value. That's what gets us that repurchase loyalty and reinforces those long-term relationships. From that loyalty, we get growth that the clients fuel. We get a lower cost of doing business and more manageable risk. All that helps us grow earnings. We reinvest that in the business to improve our delivery to our customers, and we end up with what is a pretty virtuous cycle as we see it. This is a very different model than our competition, who tends to focus on big events, on lump sum turnkey on the -- on a global competitive slate. And you rarely hear us talk about those kinds of outcomes. Moving on now to Slide 9. Here’s our market diversity. You can get a sense of how the business is distributed at the moment. I'm going to take each one of the major areas and talk about it in a little more detail. Let me start first with the public and institutional markets, and so we'll turn to Slide 10. As you recall, that's made up of 3 groups: national governments, infrastructure and buildings. Let me talk about each one of those in order. The national governments business, believe it or not, is actually improving from our perspective. What's happening in terms of the technical complexity of projects and this trend toward multi-award task order contracts, the so-called MATOCs, actually puts us in a position to expand our share of the market. We're also very well positioned in the well-funded segments. Cyber security and IT, environmental management are all areas where we expect strong funding relative to the overall government markets going forward. And then the old budget issue is also driving opportunities in outsourcing and GOCOs, government-operated -- government-owned, contactor-operated projects, something we're very good at. So we see a lot of potential there. The environmental management business, I mentioned that already, but it continues to be strong, U.K. NDA spending something on the order of $140 billion over the next 2 years and DOE spending continuing to increase in that area. So the national governments market is actually a positive for us in the overall public and institutional business that we're encouraged about the way we can take position. And it's -- in this case, it's all about taking market share. The infrastructure business is also improving, not rapidly, but it is getting better. The strengths tend to be in water, rail, transit, aviation, the kinds of businesses that have user fees to support the investment. There are also lots of opportunities in the Middle East, India, Australia, plus opportunities to work on our mining and minerals and oil and gas projects. And I'll talk about that more again in a minute. We also see a lot of opportunity in the U.S. in the pipeline infrastructure, design and upgrades. We think we're well positioned to take advantage of that, so we see that as another growth opportunity for our infrastructure business going forward. Turning to the third part of that area of our business, the public & institutional area, buildings is kind of a mixed bag right now. The nonfederal spending is improving. The federal spending is weak. Where we see the investment in federal is largely in things like data centers, other mission-critical applications, energy programs, that sort of thing. And we certainly are the world's leader in the data center mission-critical facility type. If you look at the backlog chart there on the right-hand side of the chart, you can see that we've maintained a good, steady backlog quarter-over-quarter. I think we'll be able to continue to make our position a solid one in the public & institutional area as we go forward. Moving on now to Slide 11, this is the process area of our business. That's chemicals, oil and gas, upstream and downstream. Let me start with the downstream side of the business, the refining business. Crack spreads today are actually quite good, particularly on the U.S. Gulf Coast. In the West Coast, they're probably as strong as we've seen them in a long time. The refiners tend to spend the cash flow, so that's a positive for refinery investment. Singapore is profitable for the first time in some time on the crack spread basis, and only Northern Europe is really weak, comparatively speaking. We're seeing lots of activity around better efficiency, flexibility in terms of heavy sour crudes and, of course, the environmentally driven projects. There's a lot of clean fuel activity for export, particularly Middle East, India. And then we're seeing a fair amount of possibilities in South America, although we'll have to see how the Argentine thing sorts itself out. Moving on to oil and gas. That market is very strong. There’s just a tremendous amount of opportunity in the shale oil, shale gas world. Oil sands, particularly SAGD, are very active. We see an $18 billion to $20 billion capital expenditure in 2012, and we see every reason to think that's going to continue to increase over the next few years. There's a lot of prospects coming across in pretty much all phases. And the -- interestingly, the heavy-sour/light-sweet spread is about $15 a barrel, which also makes the Canadian crudes attractive. There's a -- construction capability is starting to become an issue, and I'm going to talk a little bit more about construction later in the conversation. But the oil and gas business is very strong for Jacobs right now, and we see every reason to think it's going to continue to be so. On the chemicals side, again a really strong business right now, as strong as we've seen it in 15 years probably. Certainly, low gas prices are driving investments in North America. Growth in the so-called BRIC countries, China, India, Brazil, are also causing people to consider expansion investments. We see lots going on in North America, the Middle East, India, Asia. We're well positioned to take advantage of those things. And in particular, Jacobs' strength is in the secondary and tertiary chemicals. So these 8 crackers that have been announced in the U.S., which, if they all got built, would be something like $32 billion worth of investment -- I don't think they all will get built -- will drive a lot of chemical projects for Jacobs as well. And you can see we've got nice backlog growth quarter-over-quarter and year-over-year in the process business. So that's a positive for us. Moving on to Slide 12. This is what we call industrial. I'll start with the pharmabio business. We see a lot of continuing investment in emerging markets. This is one of those areas where Jacobs has a unique position, long client relationships, global reach and a sort of a last-man-standing position. Most of the major competitors have left the pharma business, pretty much leaving us as the industry leader, and we're doing some pretty impressive work as a result. We've -- we won an ENR best award for our work for Merck recently, and it's a good example of the kind of work we're doing for our pharma clients around the world. Mining and minerals continues to be very strong. You'll see that word adjacency opportunities again here. Not only is the mining and minerals business about ore processing and all the related activities, it's also a big buildings and infrastructure business. That's what we mean by adjacency. And we see significant growth opportunities for all of our businesses in supporting the mining and minerals industry. We've got solid momentum there. We're starting to get some pretty significant wins. And we're seeing a continuing investment, particularly in things like copper and gold, where our customers are just forging ahead very strongly in spite of the slight reduction in copper prices. This is also a business where our relationship-based business model resonates very strongly with the customer, and we see that as a real positive. And then finally, sort of our other category, that's power, pulp and paper, high tech, food and consumer products, kind of a mixed market. Pulp and paper in the U.S. is again probably as good as it's been in very long time. Our high-tech spending, the -- mostly, that's semiconductor, is up with selected clients, and there are some very large prospects in the offing. Consumer products tends to be a little softer right now, but we are seeing a lot of emerging markets opportunity, and we continue to be well in alliances. And our kind of role as the supporting cast in the power business, doing the work other than watch the power line [ph] itself, continues to be a positive for us. This is an area -- if -- again, if you look at the backlog chart on the right, we've had very strong backlog growth quarter-over-quarter and year-over-year. That then moves us to our geographic markets. Let me just kind of work through those one at a time. I've talked a lot about the North American market already, strong oil sands, good position for us on the government side, rail and transit improving. But I think, again, a big part of the story is gas and chemicals. The natural gas CapEx is estimated to be something on the order of $200 billion in the next 20 years. And the chemical market is surging strongly. We think we'll see $25 billion to $35 billion of real projects get done. South America, we're a mid player in the mining and minerals market. We're aggressively exploring opportunities in Brazil. We have another -- customers who are -- make investments there. There's also a big refining opportunity coming in South America, though I don't know what impact this -- the situation in Argentina will have on all of that. But it does look like a good, strong market for us. Moving over to Europe. Infrastructure and buildings remain under pressure, but the other aspects of our business over there are pretty good. Environmental and nuclear [ph] business is strong. We're seeing a lot of opportunity in the defense business in the U.K. And interestingly enough, there seems to be a lot of medium and small projects in the oil and gas industry, refining, chemicals and the like. I spent a couple of weeks in Europe and the Middle East right before this call, talked with a number of customers. I was actually quite pleasantly surprised at the number of investments that are planned, in particular for Northern Europe, in the chemicals and refining arena. That was a real positive for us. And then, of course, Africa, not a big market for us, but we do see some emerging opportunities in the mining and minerals business. Moving over to the Middle East. Just a huge market for us. I mentioned I spent the other half of my trip in the Middle East. The prospects there are just enormous. There just tremendous activity. We are very well positioned. We're -- continue to be the industry leader in things like GES plus, and our investment there in the Middle East is a strength for us. You can just see the investments that people are planning. And it's not just the process business anymore, there's strong activity in both buildings and infrastructure, and we're positioned to take advantage of it. Moving on to India. Great business for us. We're in both sides of the business there, buildings and infrastructure and the process business. India's planned a $1 trillion investment over the next 5 years in India. They never spend everything they plan to, but they might spend half that and that will be a huge market opportunity for us. We continue to see big expansions from our customers in refining and chemicals. Indian Oil has a big expansion program. Reliance continues to spend aggressively to grow their business. So we think India is going to be very important to us in our growth, both in India and in supporting our growth in other areas. China and Southeast Asia. For us, this is really China and Singapore. Good businesses right now. A lot of activity. The refining business is finally profitable again. But our big opportunities, I think, are supporting our pharmabio clients, particularly pharmabio clients investing in China. We're positioned to both serve those clients from a global perspective as well as actually execute the local delivery to support those customers. And then finally, Australia, another growth opportunity for us. Very significant mining and minerals business. Very significant oil and gas. It just plays right to Jacobs’ strength, and we expect to be seeing significant growth out of the Australian operations. I promised I'd take a minute to talk about construction. We took a hard look at construction to help answer some of the questions about where is the construction business going and when should we start to see the construction side of the business pick up. On the maintenance side, I think the significant ramp is out in the first quarter of '13. On the construction side, looks like the significant ramp is starting at the end of this year. And both of those then continue for about as far out as we can reasonably predict at pretty aggressive growth. So we think the construction business is still maybe a quarter or 2 out, but we do expect pretty substantial growth in both the maintenance and construction side, the field services business, I guess, as we look ahead into the fourth quarter and beyond. Finally turning to Slide 14. This is their acquisition slide. We continue to have the focuses that we've described in the past: China, Australia, Brazil, oil and gas, mining, IT, niche additions to our business. Power as well if we could find the right deal. And of course, we're always interested in adding customers who can put us close to the core client -- kinds of clients. So moving now to 15. I think we've got a good story in spite of the weakness of this quarter's performance. And we got a solid business model where we've got good market and geographic diversity. Our balance sheet's strong and will certainly support expansion and strategic acquisitions. And we continue to have a good, solid cost position. And I think that'll allow us to continue to achieve that 15% compound growth goal that we all talk about. So with that, I'll turn this back over to you all for Q&A, and I apologize about this -- the break earlier in our technology.
Operator: [Operator Instructions] Our first question comes from Jamie Cook from Crédit Suisse.
Jamie L. Cook - Crédit Suisse AG, Research Division: I guess 2 questions. Just I'm trying to understand. When we think about the miss in the second quarter, what's specific to the second quarter versus what impacts, sort of, your future outlook? So one, John, when you think about -- how large was the SG&A impact related to increased hiring, et cetera? And how do we think about SG&A going forward? And then my second question is on the margins in field services and technical professional services. What markets were where the margin’s lower specifically? And then it's confusing because at the same time, Craig, you made a comment during your remarks that you see -- it sounded like you thought margins would be getting better. So I'm just trying to dovetail -- just trying to understand the 2, if that makes any sense.
Craig L. Martin: Well, let me address the last part of your question first. What we see as we look out is that margins in the as-sold category are starting to firm up. Now that takes a while to work its way through backlog, so the weakness that we saw in the second quarter isn't inconsistent with what I think we're seeing going forward. But it takes a little time for those margins as we sell them to work their way into backlog and the weaker margins from sales in earlier periods to work their way out. So that's really why I'm expressing a little optimism looking forward, and you're not yet seeing it in the numbers.
Jamie L. Cook - Crédit Suisse AG, Research Division: So which markets specifically are as-sold margins getting better? Is it just -- I'm assuming it's the private segment. But any color there? And I guess I'm just surprised that the margin surprised you in the second quarter on the downside. I mean, what were you forecasting relative to what came in?
Craig L. Martin: Well -- okay, let -- first off, in terms of markets, it's largely the private sector markets that are, in fact, getting better. And to talk more specifically, certainly mining and minerals is improving, the upstream oil and gas business is improving. Chemicals is improving. Refining’s not quite so much. Sort of that all [indiscernible] category, not so much. Pharmabio, pretty much constant, not much change there. But it -- that's one place where margins never really went away. So it's that side of the equation. And it's kind of -- it's a little -- and the markets that I described as very strong in my earlier remarks are probably where the margins are moving -- are more likely to move up sooner and are doing so compared to the ones that I didn't describe as strongly. Does that make sense?
Jamie L. Cook - Crédit Suisse AG, Research Division: Yes. And then with regards to the second quarter, which -- where were the deferrals? And how big were the deferrals? And then the last question, I guess I'm still surprised the margin surprised you in the quarter. Let's take the as-sold margins out of this. I guess I'm surprised it surprised you because Jacobs doesn't get surprised. I'm trying to figure out what you were assuming relative to what actually came in. And then sorry, the last question on the SG&A, if you could just quantify and when those people are expected to be allocated to other projects.
Craig L. Martin: Okay, well, in terms of the factors that drove the quarter negatively, they're all about equal contributors, give or take. And looking forward, the weakness in margins that was specific to the month of March, I don't expect most of that to recur. So that was -- those were onetime events that we didn't anticipate.
Jamie L. Cook - Crédit Suisse AG, Research Division: But I guess why -- like why, I mean, why would a margin issue just be specific to March? Was it something specific to Jacobs, I guess? Or margins came in lower because of something Jacob-specific? Or was it market-related?
Craig L. Martin: No, Jacobs-specific.
Jamie L. Cook - Crédit Suisse AG, Research Division: Okay, so it sounds more like an execution issue somewhat? I mean, I don't want to make a big deal out of this but it does more…
Craig L. Martin: Yes, I don't want to make a big deal out of it either. There certainly were a couple of execution issues in there. There were also some issues with federal rates and making adjustments to those rates. I mean, there -- a whole bunch of little things added up to the miss in March.
Jamie L. Cook - Crédit Suisse AG, Research Division: But to be clear, it sounds more Jacobs-specific versus market-related, which makes sense relative to the guide in the back half. That’s perfect.
Craig L. Martin: Yes. It was very much Jacobs-specific.
Operator: Our next question comes from Scott Levine from JPMorgan.
Rodney C. Clayton - JP Morgan Chase & Co, Research Division: It's actually Rodney Clayton here for Scott. So first, can you talk a little bit about the labor and regulatory backdrop within your mining business? I guess I'm anecdotally hearing some comments that things may be tightening a little bit in that market. And have there been any discussions about any delays or scope reductions that you heard about there?
Craig L. Martin: Not at this point in time. There has not been any of that. And I have to tell you, my conversations with our mining and minerals customers are very much them taking a long view. Some of these projects and programs take 10 years to fully develop. And they're just -- they're not swinging their decisions around short-term kind of issues. We have at least one major mining project that it won't -- it'll take 10 years to produce its first piece of ore. So when you have those kinds of investment horizons, the kinds of things that we're hearing about from the regulatory environment or otherwise are issues. I don't want to say they're not, but they're not -- they're certainly not negatively impacting investment decisions that we're seeing.
Rodney C. Clayton - JP Morgan Chase & Co, Research Division: Okay, that's helpful. Secondly, if we look at your government business there, I mean, you mentioned a couple of things that I thought were interesting, one being that you're well positioned in some of the better funded areas. And should we expect a meaningful, I would say, mix shift in your mix of maybe agencies or types of projects within your government business? And then secondly, on the GOCO opportunities, are there any particular areas where you're seeing maybe the possibility for outsourcing, whether it be disposal facilities on a radioactive site or anything of that nature? Any color you can give us there would be helpful.
Craig L. Martin: Well, sure. Let me talk first about GOCOs. We're seeing a number of interesting GOCO opportunities in the U.K., and these are fairly significant projects. In some ways, they're a little bit of the big-event kinds of projects that I talk about us not focusing on, but they're nice when they come along. And we've got -- we see several of those in the U.K., see a couple of those in the U.S. And we find that we're uniquely well positioned because of some of the work we're doing with the government today in terms of GOCO-type operations in the test and evaluation world and in the nuclear materials world, in terms of the weapons complex in the U.K. I think those things are helping us position for some major GOCOs that we might not have otherwise looked at. So that's a chunk of what's driving that whole area. But I think the -- as you know, we're much more focused on getting market share day by day. And I think the more interesting part is this whole business of breaking up what had historically been big, single-award contracts into multiple award task order contracts. That's letting us penetrate a lot more locations, and we're finding ourselves able to take share almost everywhere we're successful in getting in. So the net effect of that, I think, will be a continuing growth in our national governments business for sure, probably not double-digit kind of growth but certainly growth.
Rodney C. Clayton - JP Morgan Chase & Co, Research Division: All right. And then one more, if I may. You touched a couple of times loosely on Argentina. Can you just talk a little bit about, maybe preliminarily, what your customers or how their approach to that market is changing in light of the nationalization project there or an issue there?
Craig L. Martin: I would, but I don't yet know what their thinking is going to be. That's why I phrased it as a question. It's an area that we're going to have to explore. I'll be talking to some of those customers over the next couple of weeks. At this point in time, I don't know what -- to what extent it's just an Argentina-specific issue in the minds of our customers and therefore, frankly, not a big deal, or whether it's going to have broader implications for our customers as they think about investments, joint ventures, that sort of thing. Just too early to tell in that regard. Certainly, we had a prospect there that we are probably not going to see come to fruition, and that was a disappointment for us as a company. But I don't think -- it certainly doesn't swing the needle for us as a business.
Rodney C. Clayton - JP Morgan Chase & Co, Research Division: Okay, yes, that's what I really wanted to know, I guess. It sounds like it's not going to be a major issue for you on your -- maybe on what you're projecting 2012.
Craig L. Martin: Yes, no -- it will have no impact on our 2012. It just has an impact on our outlook for the South American market in the refining and chemicals world.
Operator: Our next question comes from Andrew Kaplowitz from Barclays.
Andy Kaplowitz - Barclays Capital, Research Division: Maybe I could follow up on Jamie's question in a different way. The salary multiplier is very important to you guys or various salary multipliers. And John mentioned them being a little bit softer, but I've heard from you guys that salary multipliers have generally been improving for Jacobs. So I guess which is it? And I mean, it sounds like from your comments, Craig, that generally, they're getting better. But maybe, a little bit more clarity would help.
Craig L. Martin: Well, yes, I think you've got to look forward versus a specific conversation. When we talk about margins in March being below expectations, those are unit margins. And certainly, that's -- that gets right to John's comment about multipliers. When we talk about looking forward in terms of what the market doing, we're seeing opportunities that push the multiplier up little by little. We're not talking about major improvements, we're talking to our sales team about getting an extra $1 an hour.
Andy Kaplowitz - Barclays Capital, Research Division: Gotcha. Okay, Craig, that's helpful. So when you look at the whole SG&A issue that you had in the quarter, I mean, one thing that you notice when you look at Jacobs' earnings progression over the last few quarters is sales generally have stayed kind of stuck around that $2.7 billion run rate, while bookings have increased pretty significantly over time and so has backlog. And so, I mean, is it the case where you're just seeing projects taking longer to develop here? You book them and then the customer kind of sits on them for a while? So then you go hire people and maybe you hire them too quickly versus in the past when customers would go very quickly. Is that kind of what's happening?
Craig L. Martin: Well, it's kind of a mixed bag. Some of what you said is accurate. What we're seeing is customers are being more disciplined about their processes. So for the most part, not everywhere, but for the most part, we're going through a very disciplined front end, we're developing detailed design pretty thoroughly and completely before the release of construction. And that's part of why although construction and maintenance volumes are expected to improve bit by bit, that's why I see that fourth quarter of '12, first quarter of '13 as being the sort of an inflection point in terms of what's going on. So if you look now backward, you pointed out that the revenues have been kind of flat. But what's been happening, by and large, is that the mix of TPS and field services has been moving toward TPS, technical professional services. And that's kind of what's kept the revenue line flat as you look back. And I don't expect that to change significantly for a couple more quarters. And then I think you'll start to see the -- and what you'll see first is the field service backlog move up, and then you'll start to see the revenue line move up.
Andy Kaplowitz - Barclays Capital, Research Division: Right. So Craig, you talked about a couple of big oil sand jobs sort of moving forward and maybe last quarter, you said in the next 2 to 3 quarters. Has that stayed on target? Or have they kind of -- do they still continue to be 2 to 3 quarters out?
Craig L. Martin: No, it stayed on target. I think we're in that -- well, since I talked about it a quarter ago, I think we're in the 1 or 2 quarters kind of time frame now for some of these big jobs to start rolling in.
Andy Kaplowitz - Barclays Capital, Research Division: So there's no reason to think that backlog can't continue to increase here on a sequential basis when it comes down to it?
Craig L. Martin: I certainly expect it to. Backlog is lumpy.
Andy Kaplowitz - Barclays Capital, Research Division: Of course.
Craig L. Martin: And we can have a quarter where a big project doesn't come in and misses the quarter by a week or 2 or a month. And so the backlog doesn't look great for that quarter. But our -- as we look out in terms of our prospects for backlog growth, we see steady, again setting aside the lumpiness, steady growth in backlog out quite a ways.
Operator: Our next question comes from Joe Ritchie from Goldman Sachs.
Joseph Ritchie - Goldman Sachs Group Inc., Research Division: So I just want to follow up on the margin questions. Specifically, you mentioned the deferrals on the turnaround activity. How should we be thinking about that activity coming back, I guess, in the early part of next year? And what kind of impact could that have on both margins and EPS to next year?
Craig L. Martin: Well, it -- the impact of those turnarounds is pretty significant. They tend to be very concentrated, short-term efforts, a month, 6 weeks of very high volumes of craft employees. So they have a significant impact on the quarter in which they occur, part of why we had the problems we hit this quarter when they didn't happen. And I think we'll have -- we'll see a similar sort of impact the other way when they do happen. But I do think they're an FY '13 opportunity at this point. There'll be some minor turnarounds between now and then. But the big ones put off are basically here.
Joseph Ritchie - Goldman Sachs Group Inc., Research Division: And can you tell us why that happened exactly? What was behind the decision making?
Craig L. Martin: Customers were making so much money running these facilities that they can't afford to shut it. They don't want to spend the money to shut them down or lose the money by shutting them down. Remember, this will take a refinery or an oil sands project down for 6 to 8 weeks. And if you're producing 100,000 barrels a day, let's say, of crude at, pick a number, $80, right, you're talking about a very, very significant cost. So they're trying to -- they basically have tried to push these turnarounds out absolutely as far as they can go and still have a safe, operable facility. The good news about the turnaround business is sooner or later, they absolutely have to do the turnaround, and they can't push it year-on-year and year-on-year.
Joseph Ritchie - Goldman Sachs Group Inc., Research Division: Well, that's -- and that was my follow-up question, is based on what you've seen in terms of your installed base and the amount of maintenance you've done over the last couple of years, what's your sense that as -- if we get into the first quarter of next year, that they don't just push it out and defer it another year?
Craig L. Martin: I think it's really unlikely they can do that.
Joseph Ritchie - Goldman Sachs Group Inc., Research Division: Okay. I guess on the margin side, based on the factors that you guys have discussed for this quarter, how quickly do you think we get back to where margins were? We were just almost in the mid-5s. It did subside this quarter. How quickly do we get back to the mid-5s?
John W. Prosser: Well, there's a -- and this was a little bit of an aberration, as Craig alluded to. I think with what we're seeing in the sales prospects, certainly what we're bringing into backlog in the process side of the business is at or above kind of the level we've been working up. So I would expect that -- well, there's not going to be any big, dramatic shift that we will see margins' percentages moving up through the end of the year and into '13. But as the -- again, as the field services start picking up, then that's going to have a dampening effect on the overall margins but it will be -- probably show a little faster growth on the revenue side. So overall dollar margins will continue to grow.
Operator: Our next question comes from Steven Fisher from UBS.
Steven Fisher - UBS Investment Bank, Research Division: Just a question on the minority interest, the pickup in that line item this quarter. Was that due to growth in the Middle East activity?
John W. Prosser: Yes, it's heavily weighted to that because as you may recall, when we did the acquisition of ZATE a few years ago, it was -- we didn't buy 100%. I believe we bought 70%. And so the increase of the minority interest points to the fact that our Middle Eastern business -- and that's not the only item that's in the minority interest, but it's a big part of it, is growing. And so the part that goes to the minority interest grows. So I guess having that grow is an indicator that, that part of our business is growing. So I guess that's good news.
Craig L. Martin: Yes, it is.
Steven Fisher - UBS Investment Bank, Research Division: Right. And so would you expect that line item to continue to grow further as your Middle East business there grows over the next couple of years?
Craig L. Martin: Yes.
Steven Fisher - UBS Investment Bank, Research Division: Okay. When I think about the different pieces in getting to your EPS growth targets -- core growth, acquisitions, SG&A leverage, pricing and mix -- I'm not sure if I missed any, but are you thinking that they should all be positive contributors over the next few years, including pricing?
Craig L. Martin: Well, I certainly think pricing is going to be that. I didn't write down your list, so run me by your -- run me your list again, would you?
Steven Fisher - UBS Investment Bank, Research Division: Core growth, acquisitions, SG&A leverage, pricing and mix.
Craig L. Martin: Yes, let's -- let me just work through this. I think core growth, the organic growth, will continue to be a contributor to profit growth at the bottom line. We certainly see acquisition activity as very good. There are a lot of really nice potential acquisitions out there that would be very complementary, very additive to Jacobs. So I believe that will be an ongoing contributor. The SG&A leverage, I believe -- I really believe that the problems we had in the second quarter are just that, second quarter problems, and that we'll be able to put those behind us and continue to do a really good job of leveraging our growth in terms of economies of scale. Pricing, I think I've said that I think pricing is going to improve going forward. And mix, if you talk about it in terms of the absolute dollars, I think the mix is a big positive for us. I think if you’re looking at percentage profitability, particularly the construction and maintenance growth that we're seeing will probably take those percentages down.
Operator: Our next question comes from Michael Dudas from Sterne Agee.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: Craig, can you talk about maybe how the U.S. economy, given your discussion with clients and some of the numbers out of construction markets has been mixed lately. Do you get a sense that things are stabilizing or getting a little weaker? And I'm not -- are customers uncertain about regulatory issues and maybe about November that could be holding back some of the investment in the work you guys are having?
Craig L. Martin: I don't see a big economic or political impact on the private sector investment of our customers. Again, our customers are largely big, global companies whose spend is focused on a global marketplace and whose commitments to capacity expansion and CapEx in general are largely driven by their overall view of the market, not a U.S.-centric view. So in businesses like chemicals, for example, chemical manufacturing in the U.S. is competitive on a world scale basis and globally competitive when feedstock prices are anywhere near where they are today. As a result, we're going to see significant investment because, frankly, it's cheaper and – not -- cheaper is probably not quite the right word, but it is very productive place to invest if you have low-cost feedstocks for global supply. So that part of the economy, I think, is going to be good, and I think it's going to continue to be good. I think the CapEx for things like gas and chemicals are going to be real positives for the economy. I'm much more negative about the consumer side. I don't think we're going to see a consumer-driven recovery. I think, therefore, we're going to have some challenges with that segment of the economy. So if I think about -- not -- these aren't necessarily areas where we work, but commercial buildings, retail, not so good and probably not going to get good. And I think in -- if your primary customer base is the U.S. market, you're probably going to be a little bit careful about your investments. If your customer base is more global, I think that what happens in the U.S. is less of an issue. Does that answer your question?
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: It does. And certainly, on the public sector side, probably it's pretty self- [indiscernible], correct?
Craig L. Martin: Yes, I think the public sector is going to be a very difficult market. I think there are going to be some significant winners and losers because I think it's going to be a share game. And really good companies with really good cost postures will gain share, and there'll be some big losers on the other side. Frankly, probably small business is going to get hurt the worst when we talk about the public sector side of the business. Now there may be some political moves to try to fix that, but it's a very difficult problem to fix.
John W. Prosser: And Mike, you have to remember that in our traditional public sector markets, we have grown outside the U.S. So we're not as U.S.-centric as we were maybe 5 years ago. As we've moved into more activity in U.K. and now in India, even in the Middle East, things like buildings and infrastructure opportunities are there. And as Craig mentioned on the adjacencies, particularly in some of the upstream activities and particularly in the mining and minerals activities, those projects involve a lot of infrastructure kinds of activities that we can bring from our traditional public sector infrastructure business into the roads and rail and other kinds of activities that go around the major mining project or major upstream piping development.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: Do we know the, John -- and my -- just one quick follow-up on -- given where your balance sheet, your cash position is today, I know these are difficult to time, can you maybe talk about potential acquisition over the next 6 months in the fiscal year 2012? Can we expect something? And maybe just a little sense of given that there’s some weakness in the public sector, is that the area that you might want to be able to beef up on?
Craig L. Martin: Let me try to respond to that. We are constantly working with potential acquisitions. And at any given moment in time, there are always 2 or 3 or 4 that we're pretty excited about. But as you -- I think we've said many times on this call, these deals are pretty opportunistic. There are deals out there I would like to think would close in the next 6 months, but there's a long way between here and there and lots that could happen in the meantime. So it's dangerous to predict that they will or they won't. But it is a good, robust market. It's robust in both growing market areas where people are trying to capitalize on the strength of the market and in places where the performance is weakening and people are starting to maybe panic a little bit and are anxious to sell. And we're certainly going to be in a position to take advantage of either one of those.
John W. Prosser: And from a balance sheet standpoint and resource standpoint, we do have confidence that we have the resources needed. And -- but I -- we just announced that we did close a new credit line facility just before the end of the quarter, which gives us ample resources committed to do the kinds of acquisitions that we certainly have focused on.
Operator: Our next question comes from Andrew Obin from Bank of America Merrill Lynch.
Andrew Obin - BofA Merrill Lynch, Research Division: Our strategists inside Merrill have been talking a lot about the fiscal cliff at the end of the year. And given your exposure, I would love to hear your thoughts on the subject and also what contingency measures, if any, you're taking.
Craig L. Martin: Well, I guess this is now practicing forecasting in an area where we don't have any qualifications to forecast, so just opinion. My opinion is that our government will kick that whole issue down the road and won't come to grips with the deficit or the spending reductions and that we won't see what – the sort of dreary outlook that's out there that -- based on what's supposed to happen. Put it that way. On the contingency side, the U.S. business is one that's pretty easy for us to manage in that regard. If the work goes away, so do the people. I mean, it's an ugly thing to say, but that's really the consequence of what happens. We are aggressively, as I think I pointed out earlier, recruiting in places like Asia, Australia, India, Middle East, South America, and our -- I think our growth opportunities there are enormous. So I believe that we will be able to offset any further reduction in our business as a result of whatever the government decides to do at the end of the fiscal year. But like I say, I think the most likely case is that they'll just punt the whole problem down the road.
Andrew Obin - BofA Merrill Lynch, Research Division: And all the good questions have been asked, so I'll be like asking negative questions today. So recently, BHP and Rio, I think, literally within the past couple of days have indicated that they are going to slow down their CapEx quite meaningfully over the next couple of years. And I know that you guys are positive on the near term for mining. But have you had any conversations with your clients about longer-term prospects for the mining industry and the rate of growth for CapEx over the next 2, 3 years?
John W. Prosser: We've had a few conversations, but none of them are real recent, Andrew. When we talk at the project level, at the project level, the guys see that CapEx reductions are going to impact project selection a little bit. They're going to be a little more focused. But most of our customers are saying they continue to have the expectation that significant investment occur. Part of the problem that the industry faces is that the high-quality ores that’s mining -- I'll go specifically to copper here for a minute. The high-quality ores that have historically been produced are going away, and you're finding yourself increasingly with poorer-quality ores that require more processing and shortfalls, therefore, in terms of commodities. You may have seen recently that the Chilean Copper Company [ph] had to go out and buy copper on the spot market to fulfill its obligations to its customers. I think that's very indicative of some of the resource demographics of that industry right now. So while I think there may be – and like I say, I'll get around and talk to those customers again over the next quarter. While I think there may be some impacts of CapEx, there's also a level of CapEx that's not only likely but is basically required to continue to produce copper at the levels to match demand. And I think that bodes well for that business. So I’m maybe not yet -- maybe I should be, but I'm not scared yet. Does that make sense?
Andrew Obin - BofA Merrill Lynch, Research Division: Yes.
Operator: Our next question comes from John Rogers from D.A. Davidson.
John Rogers - D.A. Davidson & Co., Research Division: Craig, just a little bit of follow-up. Relative to the – I don’t know whether you called the surge or the pickup in bookings that you see for the construction segment coming later this year or in '13, I mean, or the -- as you look at this cycle hopefully developing, is it a -- is it large projects? Is it a lot of small work? And I'm -- because I'm -- because I always worry about deferrals and just timing of some of this.
Craig L. Martin: It's both, quite honestly. When you look at – and like I say, I had the guys to do a sideshow [ph] analysis just so we could have a conversation about this on this call. When you look at the prospects, they range from everything from sort of $50 million upgrade of a facility and, of course, our ongoing expectations in maintenance and small cap to major projects in SAGD in the Middle East. A way to look at this is that as I talk about those peaks, the maintenance part of the peak that I described is going to contribute as much to our field services activity as the construction part of it will at least in FY '13. Does that help?
John Rogers - D.A. Davidson & Co., Research Division: Yes, that does. But relative to the last cycle and -- look, they're all different and the drivers are different. But, I mean, you had some very large projects that came in later in the cycle and then ran off. And as you look at the business and how you're positioning yourself for it, and it's chemicals and gas-driven and upstream work, what do you think about in terms of what you're telling your guys that you want to be involved with?
Craig L. Martin: Well, we continue to treat the -- with all current crisis [ph] small and medium-sized projects as our top priority. What constitutes small and medium size is probably bigger than it was 10 years ago. It is bigger than it was 10 years ago. But we're also so well positioned that we're going to see the big work come in. When I talk about big work, I'm talking about north of $1 billion. The big work come in as well. We really don't expect, and none of the discussion we've had today is based on Motiva scale kinds of projects for Jacobs. So I'm not considering the $5 billion this or the $10 billion that as a part of my forecast going forward. So it is biased still toward smaller, but the top side of smaller is pretty big.
John W. Prosser: And you might also remember in a couple of the markets we're in, take the oil sands, for instance, many of these are done as programs that are multiphased. So you'll hear the market talking about $2 billion this or $5 billion that, but really, what that is, is a number of phases over a particular, say, in the -- up in the oil sands over a particular deposit that is going to be exploited over a series of activities in the SAGD. Same kind of thing with some of the mining and minerals. There are some very large programs, but they're multiphase. And just as Craig mentioned, there's -- some of them may take 4 or 5 years or longer just to get to the ore because of the -- what you have do with the infrastructure to get there and then the thinking -- the overburden and all the other things that go along with it. So -- and each of those are done in different phases and different kinds of activities. So while it might be a $7 billion or $8 billion program, the pieces are let out in more manageable increments that fit more likely into our size range.
John Rogers - D.A. Davidson & Co., Research Division: Okay. But the strategy is still to be involved in -- at program level rather than trying to go after these as discrete, large projects?
Craig L. Martin: Absolutely. Nothing's changed about our strategy in that regard at all.
John Rogers - D.A. Davidson & Co., Research Division: Okay. And even as you've expanded into a broader number of markets, I mean, the mining and some of the other areas, and based on the experience of Motiva, I mean, maybe it was -- you realize that you can make a ton of money just going after large projects. I just...
Craig L. Martin: Well, we can have a long talk about whether you'll make a ton of money on large projects or not. But I -- in fact, just to go specifically to the mining and minerals business, one of the great opportunities that we see is in the small-cap side, the sustaining capital side of the mining and minerals business, which is not well served today. And so while we get excited about big-event mines just like everybody does, I suppose, and particularly because they're very long-duration assignments because for us, they tend to be that program that John was talking about, there's also a huge amount of opportunity in sustaining capital that's not being done well today.
John Rogers - D.A. Davidson & Co., Research Division: Okay, okay. And I'm sorry. Just to follow up on the sort of first thing, it's -- relative to the timing of this work, I mean, Craig, you talked about being out and visiting a lot of clients, I mean, are these -- this work that you're seeing coming, I mean, this is work that's in budgets. It looks like it's going forward and it's not -- I'm just trying to separate it from what -- your experience with the turnarounds this quarter.
Craig L. Martin: Yes, I would characterize the work that these customers were talking about largely not speculative. It's got ROIs or ROEs that are well above the customer thresholds, and these projects are highly likely to go. And that's true, frankly, of a lot of the work that's in backlog as well. I -- we're not -- one of the things we track pretty carefully is cancellations and deferrals, and we're not seeing a lot of that kind of activity.
Operator: Our next question comes from Avi Fisher from BMO Capital Markets.
Avram Fisher - BMO Capital Markets U.S.: First of all, quickly on working capital ratios, they seem to have elevated a little bit back towards where they were during the economic crisis. Is that -- is this a timing issue? Or has there been a change in the way some of your core clients pay or your new clients, when I look at working capital relative to revenue or backlog?
John W. Prosser: It's a number of factors. But part of it is the mix shift because traditionally, on professional services, we go back to the monthly billings, 30-day terms. And so by the time you collect the money, you get to -- you're in 60 to 70 days. The -- when you're having a heavier activity on the field side, those tend to pay much quicker, and you do more either 0 funding or advanced funding or more favorable payment terms. So as we see in the mix shift, we've seen a little bit of a shift in the receivable makeup and such like that. Nothing that has any problems with it, it's just kind of a mix shift that goes along with some of the other stuff. But I think as we get back into the -- a more normal field services cycle and a more likely mix, so maybe move back more to the 50-50 or even more, you'll see the receivables coming down and -- because we'll get more favorable funding terms and then -- and more paid when paid because we'll have to pass through costs and things like that. So I think it's just a shift that's taking place with the market shift in our revenues, and I'm not really concerned about it. Although I do believe we should be able to collect our receivables faster, and that's something we always will be focusing on, but it's -- part of this shift has just been the business shift.
Avram Fisher - BMO Capital Markets U.S.: Some of your competitors largely into -- moving into larger international markets, specifically Middle East or South America, occasionally have issues on their DSOs. Are you seeing anything there?
John W. Prosser: The Middle East tends to be a longer collection cycle than in other geographies, yes.
Avram Fisher - BMO Capital Markets U.S.: But is that a factor as well?
John W. Prosser: And that's part of it. It's still part -- a small part of our business. But that's probably added a little bit just because they tend to take a little longer, and particularly when you're ramping up because there's a lot of process that you have to put in place on projects. And -- for example, GES plus, while I -- we've talked a lot and there's a lot of good things there, there's a lot of -- because it's a new program, it -- there's a lot of new requirements that even the client wasn't really sure about how the invoicing and billing should take place. So it just takes a little while to get that system working. Once you get it working, then it becomes more steady state.
Avram Fisher - BMO Capital Markets U.S.: Okay. Any -- how far along are you on it?
John W. Prosser: We're improving daily.
Avram Fisher - BMO Capital Markets U.S.: I guess I'm probably towards the end of the queue here, but I'm still a little bit confused about this SG&A issue. And, I mean, I don't know if you're going to tell us what it was, but when you look at SG&A as a percent of revenues, it normally trends in line with TPS mix. So it seems to be doing what it should be doing with TPS revenue mix expanding, and yet your margins, excluding pass-through costs, have been flat to down. So I mean, have we hit the bottom on pricing? The trends just seem negative, and that's what’s surprising to me.
John W. Prosser: I think that we've been saying that we've been at the bottom for a while, and I think it's just we're still rocking along in there. And we -- so it doesn't take much to change the needle a little bit. And as Craig said in March, we just -- the mix got us and a few other things that came in impacted the margins negatively. But I think the -- with the pricing we see coming in and all of the longer-term prospects certainly show that it's going to be improving.
Avram Fisher - BMO Capital Markets U.S.: And what is your availability to move engineering to lower-cost locations?
Craig L. Martin: Well, it remains very high. We have the largest engineering operation in India today and we -- back office, there’s substantial amount of work there. There's really not any significant limit on our ability to do that other than customer preferences, which is usually the biggest challenge. So -- and we're developing other potential locations for back office engineering as well, but it looks like the Indian operation’s got years' worth of legs left.
Avram Fisher - BMO Capital Markets U.S.: And has that been ramping? The Indian operations?
Craig L. Martin: Very significantly.
Avram Fisher - BMO Capital Markets U.S.: And is the margin on that lower since it's all kind of cost reimbursable? Lower level -- lower cost, lower...
Craig L. Martin: We actually don't approach the back office work that way. The back office work's structured to maintain aggregate margins that are equal to the margins we get in the local geographies.
Operator: Our next question comes from Tahira Afzal from KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: I've got a bit of -- 2 for [indiscernible], but I'll give it a shot anyhow. First question is utilization. Could you talk a bit about percentage in terms of utilization to the extent you can in the fiscal second quarter, and really, if you look at the midpoint of your guidance, where you see that?
John W. Prosser: Well, our utilization continues to be strong. I mean, we did have the issue, as I said, that we had a buildup of people. So that has a little impact. But the numbers are such that it really didn't -- when you look at the overall utilization, it didn't move the needle, but it did have an impact on our G&A. So I think that we -- we'll continue to see good utilization. And as we get those people who -- many of those we've already got utilized and all, I think that, that utilization will be strong. Now what was the second half of your question, I'm sorry?
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Well, I guess as you look at the second half, what the implied guidance -- the implied utilization might be? But I guess you're not giving it in qualitative terms, so let me put it another way. If you look at 2008 where we saw a fairly notable -- we saw margin expansion versus what we saw in the fiscal second quarter. Could you talk about, as you look at the last peak, where your utilization is going to be versus that for the second half of this fiscal year?
John W. Prosser: Well, the utilization rates -- back in '07 and '08, we were still working an awful lot of overtime. And we're starting to work some overtime now, but that's still not nearly at the rate universally as we were back then. Some locations like up in Canada and places where we're extremely busy, the rates are a little bit higher. But there's still markets today that are softer than they were back in '08, and we're still at the beginning of the recovery even in some of our process markets. Like in the refining and such, it's improving, but it's nowhere near the rates that they were back in '08. So -- and certainly the markups and the multipliers aren't anywhere near where they were back then either. So I think that -- I think we'll -- I guess what we're looking at in the second half is a continued improvement in utilization and continued growth in hours because we will continue to hire. And that will feed the -- and if you talk about the midpoint, that's what it's going to take to feed the midpoint of the range.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Got it. Okay, that's helpful. And then my second and last question, I guess, is as you look at all the hiring you've done in the second quarter, which is typically, I guess, a very, very good sign for how you see fundamentals playing out, can you talk about how much revenue growth over the next, let's say, rolling 4 quarters you can accommodate with that hiring? So can you accommodate, let's say, revenue growth a year out from now, which is up in the mid-teens, closer to your 15% range, with that hiring? Or do you feel at that point you might need to ratchet up your hiring even more?
John W. Prosser: We're in a continuing hiring process, and we expect to continue to hire as we go forward. It's not a case of we've gotten so far ahead or anything that we're going to stop. The outlook for growth, the outlook in a number of the markets is that we will continue to need to hire to feed that growth.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Got it. So you -- could we assume the G&A could pick up more sequentially as we go forward, let's say, 2, 3 quarters out from now?
Craig L. Martin: Well, I think G&A will pick up sequentially in absolute dollars kind of forevermore. And the challenge is to manage the G&A growth relative to the gross margin growth in a way that gives us that -- the bottom line growth that we've committed to. And I certainly believe we'll be able to do that. As you look forward, we really aren't trying to achieve 15% compound revenue growth. We believe that on something quite a bit less than 15% compound revenue growth, we can produce that 15% compound bottom line growth through that leverage of economies of scale and efficiency in our G&A. So yes, we expect that G&A will grow in absolute dollars as we go forward. Yes, we expect revenue to grow as we go forward but certainly not at a 15% clip. And we think if we manage both well, we'll see that bottom line growth that we've committed to. Does that makes sense?
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Yes, no, Craig, that's actually very helpful. And I guess what I was trying to get at is exactly that, that when do we see that operating leverage kick given that fiscal year second quarter as a percentage of sales, your G&A was very high. And have you kind of seen the peak of that based on what you're seeing as of right now?
Craig L. Martin: I think the answer to that would probably be yes. I'd have to probably look at the question the way you look at the numbers, but I believe that we're going to be able to continue to grow the business relative to growing the G&A in a positive direction.
Operator: Our next question comes from Andrew Wittmann from Robert W. Baird.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: I want to just dig in a little bit and try to understand kind of the underlying earnings power from the second quarter just given that there was some stuff that – it sounds like it was onetime. Can you quantify the dollar amounts of the stuff that you saw as kind of onetime-ish so that we can just kind of gauge where you are on a run rate basis to your guidance?
John W. Prosser: We're not going to break it down this much was this, this, because there's a whole factor of things. And I think, Craig, you said earlier that it was about equally split between the G&As and the field services and the margins. But I think that just looking at our guidance and just taking the midpoint, we feel comfortable that the second half is going to improve from this, and this is -- the impact is pretty much the underrun we saw this quarter plus a little bit.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Okay. And John, you mentioned in your comments that you saw some -- maybe some odd [ph] rush on the field services activity. Was that basically fixed cost leverage on equipment that you had from like big projects like Motiva finalizing and wrapping up here? Is that one of the things you're referring to there?
John W. Prosser: No, it's just -- it was 2 things. It was the deferral of these big turnarounds, sort of turnaround activity, and the fact that the field services activity is just coming down.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Okay. And there has been some talk on the GES plus goings on that they might expand beyond Aramco. I guess, Craig, just some thoughts on that. Do you -- are you being approached for working with other state-run companies to potentially do GES plus-type work? And how do you feel you're positioned for being qualified for that? As well as competitively, if you feel like that's something that you'll be able to participate in?
Craig L. Martin: The GES plus model, and specifically what Jacobs did with Jacobs ZATE, is a pretty positive topic in the leadership in the kingdom. And whether they simply expand the scope of GES to other parts of the investment community, the kingdom's investments, or whether they issue new GES plus-type solicitations and award separate GES contracts, isn't real clear. It could go either way based on what we see right now. We're certainly lobbying to expand GES plus rather than go through another solicitation. But either way, the model is one that has found a lot of favor in the kingdom, and we expect that we'll be able to leverage that into additional relationships either through the expansion of GES plus or through GES plus-type contracts with other customers.
Operator: Our next question comes from Robert Connors from Stifel, Nicolaus.
Robert Connors - Stifel, Nicolaus & Co., Inc., Research Division: I just sort of want to expand on Avi's question earlier, is that going back 20 years, if you look at your domestic pretax margins, on average, it's about 100 basis points higher with much less volatility than the foreign earnings. But did you find that when it comes to North America domestic work, you're able to apply JEC's lower-cost outsourcing model more liberally than you would on, say, some of your international end markets?
Craig L. Martin: Well, if I understand the question, which is, are we able to use the leverage of low-cost engineering centers like India across all of our end markets and all of our geographies, the answer is, there really isn't any difference in our ability to do that from geography to geography. The only difference is the amount of leverage that's available. I say that with one exception. There's really no opportunity to leverage India in China. But with that exception, we pretty much are able to leverage those low-cost models and the sort of work share approach that we've been developing for almost 20 years now pretty much anywhere our customers have projects. Did that answer your question?
Robert Connors - Stifel, Nicolaus & Co., Inc., Research Division: How is -- yes. I guess if you were to rank it where you can leverage it more versus less and with China being, obviously, the least, how would you rank them roughly?
Craig L. Martin: I would say that the 2 probably strongest places for that leverage right now are Canada and the Middle East, because it's driven not only by the cost leverage but also by the availability of resources. And the U.S. would probably be next on that list. So those would be my top 3.
Robert Connors - Stifel, Nicolaus & Co., Inc., Research Division: And you’d say that those probably pretty much line up with what you're seeing as far as strength of end markets, too?
Craig L. Martin: Well, yes. There certainly -- it's much easier to leverage India in resource-constrained markets than in markets that are not. So to the extent there's lots of resources in the local community, the customers are more reluctant to take advantage of the leverage that something like India provides.
Robert Connors - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then every time TPS shrinks as a percent of the mix, obviously, the gross profit margin naturally compresses. But it happens to be at a higher level than the last trough. So should we continue to see this going forward where the gross profit margin will trough, especially as it looks like we're starting to move into field services, but at a possibly higher level than the previous one as field service picks up?
Craig L. Martin: Yes, I think that's probably right. I think that the TPS business today -- we used to say the net margins for the 2 were equal, TPS versus field services. Today, I think that TPS margins are slightly higher at the net margin level. And so I think as you -- as the mix changes, because we have a stronger TPS blend and because margins are slightly higher on a blended basis in TPS today than they were 10 years ago, I think you'll see the trough be slightly higher.
Operator: Our next question comes from Stewart Scharf from S&P Capital IQ.
Stewart Scharf - S&P Equity Research: Regarding the billable hours in backlog -- I'm sorry if you discussed this already, as I was on another call, but what are the trends? Are they trending as you would expect? Or are they a little behind regarding billable hours backlog?
Craig L. Martin: Billable hours, we don't put a lot of energy in measuring billable hours in backlog. So backlog's trending nicely for us and in line with our expectations. That probably means that billable hours in backlog are also trending along with our expectations. In terms of actual billable hours and what we forecast, this is a little bit in tentative backlog, the trends in billable hours remain positive. We're -- basically, we're continuing to hire every week.
Stewart Scharf - S&P Equity Research: Okay. And also, regarding some of the consolidation in the industry, Sunoco most recently, Energy Transfer Partners, and mother [ph] pipeline and refinery types of acquisitions and some private equity, do you see that having any impact on your business in that area?
Craig L. Martin: Well, it's always very specific to who does the acquiring and who gets acquired. But our history is that after a period of rationalization, those acquisitions are generally good for us because of our position in the industry. And that's proven to be true whether it's in the refining business or the pharmaceutical business. But there is some pain associated with that period where rationalization goes on.
Operator: And ladies and gentlemen, at this time, that concludes today's question-and-answer session. Now I'd like to turn the conference call over to Mr. Craig Martin for any closing remarks.
Craig L. Martin: Well, I want to thank you all for your participation in the call. We're -- clearly, we're disappointed and embarrassed by the second quarter results, but I think our outlook remains quite positive. We see the business as improving, and we think it will continue to do so this year and beyond. So we look -- we really look forward to proving that to you. Thank you all.
Operator: Ladies and gentlemen, that concludes today's conference call. We do thank you for attending. You may now disconnect your telephone lines.